Operator: Greetings and welcome to the Nature's Sunshine Products' First Quarter 2018 Earnings Conference Call. All participants are in a listen-only mode. And this conference is being recorded. I would now like to turn the conference over to your host, Mr. Nate Brower, General Counsel of Nature's Sunshine Products. Thank you, Mr. Brower. You now have the floor.
Nathan Brower: Good afternoon, and thanks for joining our conference call to discuss our first quarter 2018 financial results. This call is available for replay in a live webcast that we posted on our website at www.naturessunshine.com in the Investors section. The information on this call may contain forward-looking statements. These statements are often characterized by terminologies such as believe, hope, may, anticipate, expect, will and other similar expression. Forward-looking statements are not guarantees of future performance and the actual results may be materially different from the results implied by these forward-looking statements. Factors that could cause results to differ materially from those implied herein include, but are not limited to, those factors disclosed in the company's annual report on Form 10-K under the caption Risk Factors and other reports filed with the Securities and Exchange Commission. The information on this call speaks only as of today's date, and the company disclaims any duty to update the information provided herein. I will now turn the call over to Greg Probert, Chairman and CEO of Nature's Sunshine Products.
Gregory Probert: Thanks, Nate. Good afternoon, everyone, and thank you for your participation in today's call. Also joining me today is our Chief Financial Officer, Joe Baty. We continued to generate good consolidated growth during the first quarter with net sales up 5.1% year over year, driven by Synergy Asia; NSP Russia, Central and Eastern Europe, and China. Net sales remain lower year over year in NSP Americas. However, we are pleased that our sales have stabilized over the last several quarters. We feel good about how our business is performing in our larger regions with the exception of some recent softness in China that may continue in the near term. Let me begin with a review of NSP Americas. Net sales were down about 7% in local currency, as we continued to compare against a good quarter in the prior year before the disruption that accompanied our April 2017 ERP implementation. I am pleased with the improvements we have made following last year's disruption and our key customer service metrics continue to improve in the quarter. In April, we instituted a price increase in NSP U.S. and Canada, and will initiate a price increase later this year in NSP Latin America. In NSP Russia, Central and Eastern Europe, we generated 10% local currency growth. The Kit program we're using across the region continued to generate momentum, highlighted by strong meeting attendance across several major cities throughout the region. We recently held our largest meeting to date in Poland, and the frequency and attendance of meetings is on the rise. We continue to monitor political climates in a couple of countries, but feel good about trends. Synergy WorldWide sales increased 8% in local currency, driven by 18% growth in Synergy Asia Pacific. We saw strong growth in both South Korea, which increased 19% in local currency, and Japan, which grew 26% in local currency. Net sales were down in both Synergy Europe and North America. Both markets were comparing against the Purify product launch last year, and we did not have new product introductions this year in the first quarter. Turning now to China, net sales increased 42% over the prior year. However, as I mentioned, we encountered some weakness during the first quarter that may continue. The challenges we have encountered relate to maintaining a robust level of engagement among distributor leadership. Given the early stage of our direct selling operations, our businesses in part depend on a limited number of distributor leaders. I'm pleased to report some recent success in attracting experienced distributor leaders to our China business. However, we need to continue broadening the leadership ranks. We have increased our focus and in-market engagement by our executive leadership team. I just returned from China last night, where I met with our top two leaders, both of whom are very positive and engaged. While we still have a lot to do to build this market, we are cautiously optimistic, that we can develop a long-term profitable business in China. Finally as we announced last week, we have begun a CEO transition plan associated with my plan to retire later this year. We have hired Korn Ferry to assist with the search process. I will remain Chairman of the Board following my retirement as CEO, and I'll remain in my current role until we have identified and onboarded my replacement. As Chairman, I will be deeply involved in the recruiting process and to support the transition. I originally joined Nature's Sunshine as a consultant nearly eight years ago, joined the Board of Directors seven years ago and was appointed CEO in late 2013. When I transitioned into the CEO role, I had informally committed to staying in the position for five years and I have enjoyed every minute of it. I am proud of our team's accomplishments and look forward to my continued involvement in a nonexecutive role after the transition is completed. With that, let me turn the call over to Joe for a detailed discussion of our first quarter financial results.
Joseph Baty: Thank you, Greg, and good afternoon, everyone. Net sales in the first quarter of 2018 were $87.3 million compared to $83.1 million in the same quarter last year. On a local currency basis, net sales increased 1.4% year-over-year. As Greg noted, the increase was driven primarily by growth in Synergy Asia Pacific, NSP Russia, Central and Eastern Europe, and NSP China, offset by a $2.7 million expected decline in baseline NSP Americas net sales. NSP North America sales declined 6.4% to $35.6 million during the first quarter or a 6.8% decline in local currencies. Sales in NSP Latin America were down 7% in local currencies. As we have noted previously, our overall NSP Americas baseline revenue has been reset post-implementation of the Oracle ERP system. Synergy WorldWide net sales in the first quarter grew 16.5% year-over-year to $31.8 million or an 8.1% increase on a local currency basis. Net sales in Synergy Asia Pacific increased 18.1% on a local currency basis. Sales in Europe declined 17.3%, and sales in North America declined 5.9%, both on a local currency basis over the first quarter of last year. In NSP Russia, Central and Eastern Europe, net sales rose 13.1% to $9.6 million. China net sales increased 42.5% to $4.1 million on a local currency basis versus $2.7 million last year. The growth was solid on a year-over-year basis. The increase in part reflects benefit of receiving our China direct selling license during the second quarter of 2017. Gross margin increased 10 basis points to 74% compared to the year-ago period. The gross margin increase was primarily driven by changes in our market mix. Volume incentives accounted for 35.9% of net sales in the first quarter compared to 34.9% of net sales in the same period last year. The increase in volume incentives as a percentage of sales was driven by changes in promotional activity and segment market mix, reflecting growth in markets where volume incentives are higher as a percentage of net sales. This is partially offset by growth in China, where service fees paid to distributors are accounted for in SG&A rather than volume incentives. Selling, general and administrative expenses were $32.4 million, up $2.1 million compared to $30.3 million in the same period a year ago. The increase in SG&A is primarily related to $1.2 million of depreciation as well as other costs related to the company's implementation of its Oracle ERP system in April 2017. As a percentage of net sales, selling, general and administrative expenses were 37.1% in the first quarter compared to 36.5% in the prior year. We reported operating income of $0.9 million or 1% of net sales compared to operating income of $2.1 million or 2.5% of net sales in the prior year period. Adjusted EBITDA, as defined in our press release as net income from continuing operations before income taxes, depreciation, amortization, stock-based compensation and other income or loss, was $4 million in the first quarter of 2018 as compared to $4.3 million in the first quarter of 2017. Net income attributable to common shareholders for the quarter was $0.5 million or $0.03 per diluted share as compared to net income of $2.2 million or $0.11 per diluted share in the year-ago period. Note that the tax rate during the first quarter was 79.5%, up from 44% a year ago and above the statutory rate of 21%. The disparity is driven by foreign losses, primarily in China, which at present do not provide a future tax benefit as well as other net unfavorable foreign tax-related items. Turning to the balance sheet. Cash and cash equivalents on March 31 were $42.3 million, and long-term debt was $7.7 million. For the first three months of 2018, we generated $3.7 million of cash from operations compared to $0.8 million in the prior year. The primary uses of cash during the quarter were a $5.5 million pay down of long-term debt and capital expenditures of $0.5 million. I would now like to turn the call back to the operator to facilitate Q&A.
Operator: At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Ladies and gentlemen, there are no questions at this time. And now I would like to turn the call back to Mr. Greg Probert for closing remarks.
Gregory Probert: Well, thank you all again for your support and for participating in today's call. Have a great day.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.